Operator: Good day, and welcome to the RingCentral Fourth Quarter 2024 Earnings Conference Call. All participants will be in the listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note that this event is being recorded. I would now like to turn the conference over to Will Wong, Vice President of Investor Relations. Please go ahead.
Will Wong: Thank you. Good afternoon, and welcome to RingCentral's Fourth Quarter 2024 Earnings Conference Call. Joining me today are Vlad Shmunis, Founder, Chairman and CEO; Kira Makagon, President and COO; and Abhey Lamba, CFO. Our format today will include the prepared remarks by Vlad, Kira and Abhey, followed by Q&A. We also have a slide presentation available on our Investor Relations website that will coincide with today's call, but you can find under the financial results section at ir.ringcentral.com. Some of our discussion and responses to your questions will contain forward-looking statements regarding the company's business operations, financial performance and outlook. These statements are subject to risks and uncertainties, some of which are beyond our control and are not guarantees of future performance. Actual results may differ materially from our forward-looking statements, and we undertake no obligation to update these statements after this call. For a complete discussion of the risks and uncertainties related to our business, please refer to the information contained in our Securities and Exchange Commission as well as today's earnings release. Unless otherwise indicated, all measures that follow are non-GAAP with year-over-year comparisons. A reconciliation of all GAAP to non-GAAP results is provided in our earnings release and in the slide deck. For certain forward-looking guidance, a reconciliation of the non-op financial guidance to the corresponding GAAP measure is not available as discussed in detail in the slide deck posted on our Investor Relations website. With that, I'll turn the call over to Vlad.
Vlad Shmunis: Good afternoon, and welcome to our fourth quarter 2024 earnings call. We had a good close to 2024 and could not be more excited about the year ahead. I'd like to start by congratulating Kira Makagon on your elevation to RingCentral, President and Chief Operating Officer. Kira has been with the company for over a decade and has been our Chief Innovation Officer for a number of years. She has been in charge of all product and technology and has been the driving force behind turning RingCentral into an open-air platform and our evolution into a multiproduct company that now includes contact center and AI. In her new role, Kira will be responsible for the Company’s product and technology organization, and will add direct and channel sales, customer success, marketing, and business operations organizations. Kira’s expertise in driving product vision and innovation, coupled with her deep understanding of customer needs and our company’s culture, makes her the ideal leader to help guide RingCentral into our next phase of AI-fueled, multi-product growth. Now let me share with you some highlights about the quarter and the year before sharing more about our AI strategy and the traction we are seeing with our new products. Q4 total revenue of $615 million and operating margins of 21.3% were both above our guidance. We also generated free cash flow of $112 million in Q4, a quarterly record. For the full year, total revenue rose 9% to $2.4 billion. While still early, our multi-product strategy is clearly working, with new products such as our native contact center, RingCX, and our flagship AI product, RingSense, already making meaningful contributions to our growth. Operating margins were 21%, up from 19.1% in 2023, and for the first time we achieved positive GAAP operating profitability for the full year. We also generated $403 million of free cash flow, up 24% versus 2023. We expect to generate $0.5 billion of levered free cash flow in 2025. In addition to our strong free cash flow growth, I am pleased with the progress we have made on stock-based compensation. In 2024, SBC as a percent of revenue declined over 5 percentage points year over year to 14%. Importantly, we reduced the value of net new shares granted by about 40% year over year, with similar improvements slated for 2025. This should set us up for another year of healthy free cash flow per share growth. Our strong financial profile and culture of innovation puts us in a strong position to super charge our product portfolio through AI. AI is the mother of all megatrends and the future of RingCentral. In this new era, our vision is to empower every business with an AI-first platform that not only connects, but also enhances conversations between businesses and consumers, thus driving better outcomes for our customers. This brings me to our exciting product announcement today. We just unveiled RingCentral AI Receptionist, or AIR, which we believe will deliver tremendous value to businesses everywhere. Building on our history of industry-leading innovations, AIR is an innovative generative AI phone agent that is seamlessly integrated into the phone system. It acts as a true digital employee that enables our customers to do more with less. Kira will provide more details about this exciting new product. With respect to our new products announced last year, I’m particularly pleased with the success we are seeing with RingCX, our native, AI first, cloud contact center solution. We now have over 700 customers on RingCX, up from roughly 500 last quarter. This success is no accident. According to Metrigy, over 75% of customers prefer UCaaS and CCaaS from the same vendor to close siloes and create more connected employee and customer experiences. We’re seeing it first hand from our customers. A good example of the power of an integrated UCaaS and CCaaS solution is a large new customer win this quarter with Genpact, a global advanced technology services and solutions company. Genpact has more than 125,000 employees, serving 800 clients across 30 plus countries. Genpact selected our full communications suite across RingEX and RingCX as they look to foster greater collaboration amongst both employees and clients, who are spread across many time zones. Importantly, RingCX will be replacing several cloud contact center solutions as Genpact looks to continuously improve and streamline their platforms. Another key reason why Genpact selected RingCentral was our ability to deliver fully regulatory-compliant UCaaS and CCaaS solutions across all 22 telecommunications circles in India. Another important proof point of RingCX’s success is its adoption by our GSP partners. Most recently, BT selected RingCX to power its CCaaS offering, joining Cox Communications, Vodafone UK, and Zayo USA as GSPs that are now selling RingCX. We expect more GSPs follow. We also continue to see strong traction with our other new products. RingSense, our conversation intelligence platform, and RingCentral Events, our virtual, hybrid and onsite events platform, are both doing well. We now have over 2,000 RingSense customers, up over 65% sequentially. We also have 700 RingCentral Events accounts, up from about 600 in the third quarter 2024. With this, we are already halfway towards reaching our goal of at least $100 million in new product ARR by the end of 2025. To wrap, we closed out 2024 on solid footing. We look forward to continuing to drive profitable growth in 2025 and beyond with strong free cash flow generation and further free cash flow per share improvement. I could not be more excited about our future as we continue expanding our portfolio via our new 10 expanding AI first product. The opportunities ahead of us are huge, and we have the right people, products and partners to take us to the next level. With that, let me turn the call over to Kira to discuss our product and go to market in more detail.
Kira Makagon: Thanks, Vlad. It has been an exciting journey to be at RingCentral since the IPO. And I'm excited to drive the next phase of our growth with the responsibility for our product and technology organization, direct and channel sales, customer success, marketing and operations. What has always been my guide is listening to our customers and partners. This shapes our strategy and innovation, and here are my key priorities. First, build upon our UCaaS leadership infusing AI across our entire portfolio. Second, expand TAM through our multiproduct portfolio, led by RingCX, our native AI-powered CCaaS solutions. Third, drive profitable growth and improve customer engagement across our entire business. Now let me share more about each priority. First, build upon our UCaaS leadership infusing AI across our entire portfolio. We have built a leading business communications platform, where -- voice remains mission critical. Customers choose us because of our market-leading cloud business phone system, which also includes text, collaboration, packs and BT capabilities, which are built on a secure, compliant and highly scalable global open platform. These are key differentiators and a competitive advantage for us and why we are recognized by numerous industry analysts such as Gartner, IDC and Frost. One of our largest wins this quarter is an international public sector customer that purchased over 10,000 in EX seats. RingCentral enables them to replace their legacy voices system with our leading RingCX product that will connect their large network of locations on our unified platform. We're also seeing that enterprise customers are choosing RingCentral to complement the use of Microsoft Teams messaging in video. Teams customers turn to RingCentral for advanced enterprise-grade phone capabilities. In Q4, we won numerous $1 million TCV deals, where our integration with Teams was one of the key factors. An example is a leading Australian retailer that purchased 6,000 seats of RingCX to leverage our best-in-class voice capabilities alongside teams. Looking ahead, we have an unprecedented opportunity to expand our leadership in voice with AI. Voice continues to be a dominant and preferred mode of customer communications and an untapped opportunity for AI to automate and create unique customer experience. We are focused on infusing AI across our entire product portfolio. Starting with our flagship product, RingCX, we are building and delivering an AI-powered solution for every phase of voice conversation before, during and after the call. Today, we announced our new AI Receptionist for RingCX or AIR. AIR is a generative AI phone agent that is seamlessly integrated into our phone system. AIR is an important step in our broader AI strategy and a powerful extension of our UCaaS portfolio. It addresses the before phase in the conversation life cycle, while giving businesses the ability to do more with less. Customers like dental offices, restaurants or repair businesses can now have their own digital employees to handle in-voice phone calls, answer questions or right directions, schedule appointments and route calls were needed. One early customer example of AIR is Southwire, a leading manufacturer of electric wires and cables. They said “Handling call transfers across 67 locations used to slow us down. IVRs weren't flexible, live agents were costly and hard to scale while maintaining quality. RingCentral AI Receptionist changed that. It now answers call, understands caller intent and transfers them to the right person instantly. We're reducing costs significantly. While maintaining service quality, reducing miscalls and errors, it's like having a 24-7 receptionist at a fraction of the cost” Next, during conversations, last quarter, we announced AI assistant or RingEx. It captures notes, generates conversation recaps and summarizes actions, enabling employees to focus on their conversations while AI takes care of the rest. We're seeing good early traction and positive customer feedback. After the call phase, RingSense for RingEx analyzes conversations automatically scored goals, just coaching insight and provides co-performance metrics that empower businesses to improve how their employees engage with customers. We now have over 2,000 customers on RingSense, up over 60% sequentially. The initial customer feedback we're seeing from our AI solutions for RingEX underscores the growth potential and shows that AI innovation applied to every phase of conversation is a catalyst of better business outcomes and improved productivity for our customers. Second, expand TAM through our multiproduct portfolio led by RingCX. Last year marked the first full year of us selling RingCX. And I'm proud to say that our team has delivered strong results that exceeded our initial expectations. Many of our customers are choosing native RingCX because it is seamlessly integrated within RingEx and is deeply used and simple to deploy. Building on these strengths, last year, we rolled out RingSense AI quality management for RingCX customers. This solution automatically scores for RingCX interactions and identifies coaching opportunities. In fact, we're seeing more than 50% attach rate for AI quality management with RingCX. This is a stronger proof point of the demand and increased wallet share. A good example of our multiproduct wins in Q4 is Echo Global Logistics. A Forbes, top 200 private company and a leading provider of technology-enabled transportation and supply chain management services. They selected RingEx, RingCX and a high-quality management because they wanted to seamlessly connect their employees and customers, while also providing the insights they needed to scale more efficiently. Echo Global describes RingCentral products as innovative and easier to use compared to other solutions. Third, I am focused on driving profitable growth and improved customer engagement across our entire business. I intend to apply rigorous discipline with a metrics-based approach and use of AI tools to optimize the business for our next phase of growth. This includes people, process and technology. In summary, I'm excited to lead RingCentral’s go-to-market and innovation in this new era of AI. Stay tuned for more updates at Enterprise Connect in London next month. And for those who can please join us in our product session for investors on Tuesday, March 18 at Enterprise Connect. With that, let me turn it over to Abhey.
Abhey Lamba: Thank you, Kira. I'm excited to be here on my first earnings call as RingCentral's CFO. In my first 90 days, I'm very impressed with the strong prospects and financial profile of the company. From 2021 to 2024, we have tripled our operating profit and grown free cash flow from $80 million to $403 million, representing a CAGR of 72%. During this time, we have returned over 700 million to investors via buybacks plus reduced stock-based compensation driving a basic share count to 2020 levels. Moving to Q4, we delivered strong results with all key metrics above our guidance range and record free cash flows. Total revenue of $615 million, up 8% year-over-year was above our guidance range. ARR increased to approximately $2.5 billion, up 7% year-over-year, up 8% on a constant currency basis. Large steel activity was strong with us signing over $30 million-plus TCV deals with strong RingCX attached. This is a testament to our multiproduct strategy, customers now purchasing more products from us, allowing us to gain a larger wallet share. Our new products are also showing good early traction with our small business customers driving its ARR growth of 7% or 8% on a constant currency basis, which is an acceleration over the last three quarters. Now moving to profitability. I will be referring to non-GAAP results unless otherwise noted. Subscription gross margin was 81%, overall ARPU remained above $30. Please note, we do not intend to share this metric going forward as it is no longer a meaningful indicator of our performance as we transition into a multiproduct portfolio. Operating margin expanded approximately 100 basis points year-over-year to 21.3%, which was above our guidance. This was driven by disciplined spending, especially in sales and marketing and where we expect to drive further incremental improvements. Notably, we also reduced stock-based compensation as a percent of revenue by almost 700 basis points year-over-year as a result of disciplined new grant activity. This, along with improvements in operating margin resulted in us achieving GAAP operating profitability for the second consecutive quarter. Moving to our cash flows and balance sheet. Our strong operating performance, combined with increased rigor and driving efficiencies and working capital improvements resulted in record quarterly free cash flow of $112 million, up 19% versus last year. During the quarter, we also reached approximately 2.2 million shares for $77 million. Now turning to the full year. We delivered another year of strong revenue growth current GAAP operating income positive and reduced our fully diluted share count for the first time in our history. For the full year, we drove meaningful improvement in profitability while continuing to grow. Our 2024 revenue increased 9% to $2.4 billion, operating margin improved by 200 basis points to 21%, and we generated over $400 million of free cash flow, up 24% year-over-year. In addition, we also drove a material reduction in stock-based compensation. SBC as a percent of total revenue declined to 14%, down from 20% in 2023. Moving to our balance sheet, we repurchased approximately 9.7 million shares during the year for $322 million, resulting in the reduction of our diluted and basic share count. Board recently approved an incremental $100 million in share repurchases. This brings total available authorization to approximately $270 million. We also grew EBITDA 17% to $590 million reducing our net debt leverage ratio to 2.2 and 2.6. Before providing guidance, let me share our framework with you. Approximately 85% of our business is UCaaS Consistent with the last few years, we expect to maintain our leading UCaaS market share of approximately 20% based on synergy Research's latest research report. According to IDC, the UCaaS market is expected to grow revenues by about 6% in 2025. With respect to CCaaS, we are seeing strong adoption of our new RingCX product, which is expected to more than double in revenue in 2025. While its aggressive pricing impacts the top line in the near term, it is a higher-margin product and net accretive on a unit economic basis due to our full technology ownership. RingCX is also simpler product and easier to deploy, thus necessitating less professional services. Additionally, we are seeing less hardware phone sales because our app -- production is continuing to take share. Both of these items affect the top line, but not bottom line as they are low margin businesses for us. Regarding capital allocation, we remain committed to delevering the balance sheet and reducing our gross debt to $1 billion by the end of 2026. With this, for the full year, we expect subscription revenue to grow approximately 5% to 7% year-over-year of 6% to 8% on a constant currency basis. Total revenue to grow approximately 4% to 6% year-over-year or 5% to 7% on a constant currency basis. Operating margins of approximately 22.5% representing expansion of approximately 150 basis points. Stock-based compensation of $300 million to $310 million, representing approximately 12% of total revenue, down from 14% last year. The value of net new stock grants are expected to decline about 40% year-over-year, which will result in further SPC declines going forward. Non-GAAP EPS of $4.13 to $4.27, representing approximately 14% growth at the midpoint. Our non-GAAP EPS estimate is based on a fully diluted share count of 93.5 million to 94.5 million. Free cash flow of $500 million to $510 million, up 25% at the midpoint versus 2024. For the first quarter, which has two fewer days than Q4, we expect subscription revenue range of $587 million to $592 million, representing year-over-year growth of 5% to 6% or 6% to 7% on a constant currency basis. Total revenue of $607 million to $612 million, representing year-over-year growth of 4% to 5% on a reported and constant currency basis. Operating margins of 21% to 21.5%. Non-GAAP EPS of $0.93 to $0.97 based on fully diluted shares of $93 million to $93.5 million. Our strong financial profile provides us with many capital allocation options. We plan to generate $500 million of free cash flow in 2025 combined with $350 million of incremental capacity on our term loan A and $225 million on our revolver, we have over $1 billion in available capital. Given our projected internally generated cash flow and external sources of liquidity, we believe we can extinguish our 2025 convertible notes, which we expect to pay off with available cash in the next few weeks and have the capacity to also address the entirety of -- 2026 convertible notes on a timely basis as is contractually required. In summary, let me conclude with four key takeaways. One, we continue leading and holding market share in a mission-critical segment of business voice communications. Two, our new AI products are all growing strong double digits sequentially. Three, our new President and COO, is a proven innovation leader committed to growing our overall TAM. Four, we expect to generate $0.5 billion of free cash flow, which will allow us to reduce debt, repurchase shares and invest heavily into innovation. With that, let's open the call up to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. And your first question today will come from Kash Rangan with Goldman Sachs. Please go ahead.
Kash Rangan: Hi, thank you very much. Congrats, Kira. Congrats, Abhey, on taking over your positions, respectively, and Vlad. You had a slide in your presentation about market share. RingCentral is still top of the heap. Looks like the market share seems to be stabilizing roughly after of -- moves here and there. So what are we to make of that market share presentation. Is the sign that this you -- 85% of your revenue comes from UCaaS, another 15% is in growth areas. I mean, does this set you up to start to regain market share from this point going forward? And one for you, I'd like to congratulations on -- I think it's your first public company CFO position. What imprint do you bring to bear based on your prior experiences you've been at high-growth companies like AWS, you were at Autodesk system prior that you were an amazing sell-side software. So what do these experiences bring to bear to you as you approach your CFO job? And how does Abhey add value here?
Vlad Shmunis: Great, Kash -- yes, thanks for the questions. Okay. Look, regarding market share, very happy you asked because I tell you, we've been here this persistent rhetoric that RingCentral is losing market share and in particular, losing to Microsoft and Zoom. That is simply not the case. And now we have third-party data that makes this case a bit clearer and I think without any doubt. RingCentral has been a 20% market shareholder plus or minus a few basis points for the last number of years, 4 years, 5 years plus. What were the risk motion in the marketplace is smaller players as a whole are getting weaker. We're holding our own. You can look at the chart and the data we've provided. This is from a third-party synergy which is a well-known, I think, a respected industry analysts. As far as people who are actually paying for their business phone service through the cloud. We are in the clear lead, we have been and have every intent of continuing our lead. We would very much like to expand it as well. But I have to say that 20% in the competitive space is not the worst position to be in it is holding steady. Regarding new products, look, it's very, very early to speak of us of market share at this point. But our new products are growing in strong double digits, it is not better sequentially, quarter-over-quarter. So we are very, very happy with the progress they made, they are making. We think that there is a huge opportunity. And this opportunity is, I would say, twofold and it's unique to us at RingCentral. And this is not necessarily in order because it goes together. But one is UCaaS and CCaaS combined together into a single suite. We had early success with it with an OEM-based approach. We've built a sizable base. We are sitting on a very sizable RPO from that base. And we've also gained tons and tons of experience as far as what it takes and what is really needed by those customers that value their employee communications and their customer communications to come from the same vendor which I think as we've noted third-party research suggests that it's well over half of companies, I have actually -- I think metric you said was 65%. And we have some other estimates from other analysts that are higher than this. Again, Cisco, Avaya, Frost have been selling their UC and CC together, and we know that there is a very healthy appetite for UCaaS and CCaaS together. So this is one angle. We believe we are best positioned to satisfy that demand through a combination of our partner base, but now also in-house developed products. The other leg of the stool is AI. And I don't know if I know if you had a chance to catch my CNBC interview just about half an hour ago, but this very question was asked, and the other piece of answer, which is, we RingCentral, we are the global leader in UCaaS. We have hundreds of thousands of customers, millions upon millions of seats/end-users and we're moving billions of minutes of voice traffic through our network. Voice continues to be the dominant means of communications and preference between consumers and their brands, the providers. And RingCentral is in the absolute voice position in satisfying the demand. So what this means is that we are in a very good position to take the advances and promises that AI has to offer and deploying it across the base. And just today, we introduced RingCentral AI receptionist. We call it AIR, it's not Nike AIR, it's RingCentral AIR. And RingCentral AIR, we believe, is the first close integration between a major service provider and AI reception is digital employee that will answer calls that will provide directions, that will block spam very importantly, well direct calls, not just based on a name or extension of employee, but based on context. Of that being said, please connect me to your collections department. Please connect me to your shipping department, those types of questions. We know that with Southwire, for example, the customer we've highlighted, early the customer. We are able to save them substantial time and money effort and most importantly make them more productive through this product. So very, very excited about that. And maybe to pre-empt your next question, if somebody would ask, yes, we absolutely see this as they paid -- at this point. We think we're delivering value. Digital employees are a lot less expensive than physical employees and that will simply free up people for doing what people do best, but yet businesses can save money, time and become more efficient and more proficient with our customers. So future is bright.
Abhey Lamba: Thanks, Kash, for your questions and congratulations, really appreciate them. And also thank you for listing my CV. Yes, what I've -- it's been great to be here. And what I can see similarities with all the companies and differences is the pace of innovation here. We have a really strong pace of innovation. And that's kind of showing up in some of the AI-based products that we're launching. So my experiences from other companies are going to really be helpful in driving profitable growth here. We have come a long way in moving our efficiencies and also improving the balance sheet we have. And we think we're going to continue to build on the strong financial foundation that we have to keep driving free cash flows higher. So a lot of those lessons that I've learned in the other companies are going to be highly valuable here as we drive innovation and improving on our debt leverage as well as free cash flow generation capabilities.
Kira Makagon: Kash, thank you. This is Kira and I think as outlined a lot of the question – answers to the questions that you have. And just to double down on our continued pace of innovation, we announced a number of new products over the last year. And they are just now and we'll continue to look to drive forward and build upon that market share that we have today that is outsized compared to anybody else.
Operator: And your next question today will come from Siti Panigrahi with Mizuho. Please go ahead.
Siti Panigrahi: Thanks for taking my question again. Congrats, Abhey and Kira on your first earnings call as a new role. So I want to ask definitely, it's very exciting to see the RingCX adoption in doubling revenue. And you talked about some of your, I think Genpact and some of those large deals. Help us understand like what kind of sales like they are doing using it. And in terms of the CCaaS, how are you positioning now RingCX versus NICE. And then another there and you guys didn’t disclose CCaaS ARR, what was that end of Q4?
Vlad Shmunis: Yes. Great question. Let me take at least some of that and I'll let Abhey on financial progress. But look, RingCX, we introduced it last year. I think I already mentioned, it's doing well and exceeding our expectations. It's addressing a wide swath of market. It has a good traction and it was specifically designed to be seamlessly integrated AI-first and very importantly, easy to deploy, use and manage. It's also priced aggressively. So short summary is it does very well down market where we were less successful with our prior products before. But I have to say, it's also playing quite well in the up market and Genpact is just the latest example. But we do have a number of 1,000 seats or so accounts that are choosing RingCX for those reasons that I mentioned. Having said this, it's great to have a full lever. We have RingCX as our own grown product, certainly we are putting much muscle behind it for obvious reasons. On the economics, control of the road map, much better a quicker ability for us to serve customers that we are hearing directly. We obviously have our original OEM product powered by NICE that has been a very, very successful partnership and a very successful product. It's been in the -- we've been doing business for about 10 years. We've built a substantial base. We're seeing on a large RPO from that base. And we believe that, by and large, that base is going to be satisfied by one of the products in our portfolio at least. Now having said that, we have the partnerships. I think last quarter, I believe, we've announced a Verint relationship that, again, it's early, but early signs are quite promising. We are beginning to adopt it within our own company, and we are a large company, you will with a sizable contact center. So we're a good use case. We're also building a pipe with Verint-based products, and it's early, but there is a definite interest. So we absolutely expect to be making face there. But I got to say, we have other partners whenever we don't have in-house technology, and it's a very dynamic market. Nobody can own it all really. We have a number of other folks that we're doing business with. And we expect that to continue as well. So overall, it's customer-first, and over years, I believe we have clearly proven our ability to deliver to the market. The exact combination of products and technologies as needed for the moment.
Abhey Lamba: Thanks, Siti. Essentially, our CCaaS ARR kind of grew in low double digits in the quarter. But as Vlad indicated, we should be focused more on what's driving in our new products ARR. And RingCX is the biggest driver of our new products ARR, which we mentioned to you. It's over $50 million as we call it, and we are well on our track to deliver on our 2025 target of at least $100 million.
Vlad Shmunis: So just to clarify, what we disclosed is our new products [indiscernible] and is led by RCX, and also just to remind everyone, clarify, RingCX, while it is fantastic for our bottom line, own economics. It is priced aggressively in the market. And top line may be impacted because of that. This is something we flagged last quarter as well. Obviously, as we're now guiding for the year, we took all of those considerations into account. And we absolutely are positive that having our own AI-first contact center product is exactly the right thing to do. But again, really don't want people to fixate on our overall CCaaS revenue at this point. But look at the growth of our new products and CX and also, very importantly, our emerging AI portfolio.
Operator: Your next question today will come from Ryan MacWilliams with Barclays. Please go ahead.
Damien Grangeon: Hi, guys. This is Damien on for Ryan. At a high level, how should investors think about quantifying the potential impact to results from the prioritization of RingCX for RingCentral's NICE partnership?
Vladimir Shmunis: I mean it's all in the guide. It's all in the guide. I think we already said it a few times now, there is a base. This base is largely under contract. Actually, I would think -- I believe it's fully on the country, but let's take this large for the record. There is a large RPO. So people are on contracts and with a payment stream guarantee you all know what RPO means. And as far as puts and takes, there's in the guide.
Damien Grangeon: Got it. And then Abhey, can you also understand the non-GAAP operating margin progression throughout 2025, just what's driving the operating leverage that you expect in the latter half of the year? Thank you.
Abhey Lamba: Yes. Thank you. The key driver for operating margin leverage is top line and efficiency improvements in the cost structure and the discipline spend that we have. You've seen us deliver that over the last few years. We've delivered -- we've nearly doubled our operating margin in the last few years, and you should expect a similar discipline to continue. And during the year, some of the work being internally to optimize our cost structure using AI to bring in more efficiencies. Some of the stuff that Kira talked about, a lot of all of those are going to generate margin leverage as you go along the year.
Operator: Your next question today will come from Brian Peterson with Raymond James. Please go ahead.
Brian Peterson: Hey, guys. Thanks for taking the question. As we're thinking about ARR, I think a lot of investors look at the sequential change in that metric as a method to just track kind of the overall business activity. I know FX was an incremental headwind. Is there any way to look at what that figure would have done adjusted for FX? Or is it just fair to maybe take 100 basis points out of the year -- year-over-year? Any help on how to look at that?
Abhey Lamba: Yes, I think you're thinking the right way. They called out about one point. So it was actually about a $30 million impact from currency here. So you can make the adjustment that was the biggest factor there. The other element is what Vlad talked about, the RingCX doing well. So when you adjust for all those things, you can see our performance was relatively in line with the last few years.
Brian Peterson: And Vlad, maybe just one for you. As we think about the incremental GSP partnerships, how do you think about the importance of that channel in the go-to-market motion going forward?
Vlad Shmunis: Yes. No, since you're asking. Look, our GSP prices, we believe is absolutely unique in the industry. There is simply no one I can think of, in our segment, that has nearly a depth and breadth of relationships and proven success with the GSPs that we have. Very importantly, we are seeing these GSPs also buy in and line up behind our multiproduct portfolio strategy. And in particular, we have a number of major service providers, and we have just now, I think, today or yesterday, announced that British Telecom is the latest is the latest partner to do this. So they are now reselling RingCX. This is by and large net new, okay, to that entire industry, but they are also seeing an opportunity with their very, very large installed bases to expand the reach to offer more value. So I think GSPs are great for our core UCaaS business, but they will be pivotal in making RingCX, RingCentral AIR, our AI assistant, RingSense our entire portfolio, we absolutely expect to sell not only directly and through the traditional channel, but via our GSP partners as well. And this is an industry new and unique position that I don't think anyone else can match at this point.
Operator: Your next question today will come from Meta Marshall with Morgan Stanley. Please go ahead.
Meta Marshall: Great. Thanks. Maybe building on kind of that last question, just obviously, getting leverage the global service partners on kind of selling the multiproduct strategy. But just are there any additional kind of go-to-market investments or kind of more direct kind of overlay sales that you'll have to kind of sell some of the new portfolio that we should be mindful of going throughout the year. And then just as a second question, if we think of sources of upside potentially during the year, does it come from kind of exceeding that $100 million ARR target kind of the new products or more kind of stability on the RingEX product? Thanks.
Kira Makagon: So it on the new products and specifically as we take these products to GSPs and all our other partners, strategic partners. We already have a number of GSPs that are -- just went out yesterday, they are taking RingCX to market. Vodafone is -- Cox is in the process, they announced -- so we are seeing -- what we haven't seen before as we are relatively new to a multiproduct portfolio, a native multiproduct portfolio that they are adopting all of our products and very eager to adopt more, and that includes AIR that we announced today. And that will include every single AI base teacher that we have planned for 2025, and there's a number that's in the pipeline and we'll be announcing them as they come out, of course, including a number of AI-enabled add-ons, that we have, for example, within RingCX such as our RingSense for MCX quality management which helps agents be more productive and gives management dashboard in a better way to manage agents. Those are just a couple of examples. And what was the second part of your question?
Meta Marshall: Just on sources of upside as we think about the year, would you think of those coming from kind of beating the $100 million ARR target around new products or kind of more stability, such growth on the EX side.
Kira Makagon: Well, I think it's kind of a combination of both. It's new products was exceeding $100 million ARR that we have good visibility into already. And also being able to sell new products into installed base, which is, frankly, a relatively new motion for us. And we're seeing early success. For example, last quarter, we announced AI assistant, not monetizing that yet where we're seeing very good adoption and customers like users like the product. They complement us on the quality of the product. So expect us to then everything that's out there that is not even magnetisable today, we will be adding capabilities to monetize it. So we'll call it in the category of new products but they really fit across our space. And so we expect that to accelerate. I think as said early on, our future in terms of adding new capabilities led by RingCX but augmented by many AI capabilities which is what customers expect today from us, and we'll continue to innovate and lead there.
Operator: Your next question today will come from Michael Funk with Bank of America. Please go ahead.
Michael Funk: Yes. Thank you for the question. Maybe just one for Vlad. But we've seen some very divergent results in the last week or 2 across the space in terms of the actual reported and then guidance as well. So hoping you put your guidance for the year in the context of market growth, right, for CX. And if that implies market share gain and then in which areas that it does if you believe that it implies market share gains?
Vlad Shmunis: Well Michael, CX is definitely taking share because the market is not growing strong double digits, like let's say, quarter-over-quarter. So of course, it's taking share, but it's small. And I think a little early to speak of market share for CX but it's a product that's well received. It hit a nerve. It's not a niche product because I think already indicated, it has a number of customers of all sizes and the latest large win with Genpact shows that it is quite capable of hunting upmarket as well. Having said that, look, there are more full efficient products out there. So we're not trying to make more – feature-for-feature. But we went for ease of use, ease of deployment, we went for ease of ownership, which includes but is not limited to the price point itself. Very, very importantly, it's a next gen product that's been together in the era of AI. So it works very well with AI, some of them are plug-ins and some of them are core features. But things that we can do with RingCX before call, during call and after call. So after call, would be a RingSense for CX, for example, or assist for CX by way of example. So those are all well received. And it's an investment that took us a few years to bring to market. But once with this, it's doing well.
Michael Funk: And then you mentioned mid-market, Vlad. Some of the BofA data credit card data is showing some relative weakness in midsized business based on spend hiring. Does your guidance in caps like conservatism for the midsized business market? Or are there other factors?
Vlad Shmunis: Yes. Well, look, I think we specifically called out that we're seeing stabilization in small business. I know you're saying mid, but we'll start with small. And that's actually been doing well for us, and we're optimistic it will continue to do so. As far as it is made up, look, we are seeing our acquisition patterns. We're seeing retention patterns. And yes, look, you can't run away from the fact that there is still macro out there, which is not quite certain yet, we've experienced currency headwinds as well. I mean, not we, but everyone had. All I can say is to the best of our ability, we put it all together, and this is the guide we provided. We feel good about our ability there. But very, very importantly, nobody has asked this question, I don't want to strike of this is one thing we do control a lot better is the cost side of things. And we've had really very, very strong margin expansion and free cash flow generation. But this coming year is the first year that we'll do over $500 million of leverage cash flow, we feel very good about that. We are able to do this as we're growing the top line. And as we are drastically decreasing Stock Based Comp, SBC. So put it all together, and our earnings per share story is beginning to shape up quite well, and we believe there will be continued strength there. And look, there is market wise, there's good weather, there's bad weather, eventually every -- word, one economy terms, we should be doing even better. But we have not baked that into our guide. Let's put it that way.
Abhey Lamba: One thing I do want to add about the guide here is that just keep in mind, there's about 1 point of currency headwind that we've talked about. And the other revenues also has an impact on our top line. So just if you adjust for all that in your models.
Operator: Your last question today will come from Ryan Koontz with Needham. Please go ahead.
Ryan Koontz: Great, thanks for the question. Appreciate the color on EX position there and have CX traction down market. Could you maybe also reflect on some of the traction you have with some of your new products you're talking about as part of your model there?
Vlad Shmunis: Yes. Well, overall, I think we said we are at a bit over $50 million in ARR with the new products. So that makes us better than halfway towards the $100 million mark or targets that I said a year ago, we feel really, really good about this to be already a bit over halfway there. As far as color is concerned, well, RingCX being a new product, I think we already said that in the enterprise, for example, where we had a really, really good quarter with over 30 deals with $1 million TCV or better. RingCX attach was over 50%, okay? So this is one good measure. We are also seeing very strong attach of AI add-ons within RingCX with RingSense being over 50% attached to RingCX, as an example, okay? As far as the wide base is concerned, look, it's very, very early. We are seeing early results, early traction with our various AI add-ons. But frankly, is the one that I'm personally extremely excited about, which is RingCentral AIR, we've introduced today. So we already have some very, very heavy customers with it. We've highlighted South wire, which is a sizable company that's able to save quite a bit of efficiencies with this product, but it's early. I have to say that for the guide on this, we took it down. I would not say that we were overly aggressive at this point. These things take time. And people need to get -- look, we've got lots and lots of customers and people need to get accustomed to this technology and learn what they can do with this new tool, but it will happen. And very importantly also, we ourselves are using -- we are eating our own -- though. So we are using all of the stuff in-house, and we can see first-hand the type of improvements this technology bring. And Kira, maybe you can provide some more details?
Kira Makagon: Yes. Just on deploying internally RingCX and RingSense in our own contact center, we're seeing typically improved agent response rates improved just call wait times and just ability to simplify workflows which we're able to do even with our own contact center. And in terms of what it shows in terms of efficiency, overall, we're seeing something on the order of 10% efficiency and moving upwards from there. And that's a good benchmark to take to our customers as well.
Ryan Koontz: That's great. Really appreciate it and we look forward to learning more from Enterprise Connect. Thanks so much.
Kira Makagon: Thank you.
Operator: That concludes our call for today. You may now disconnect your lines.